Operator: Good morning. My name is Rob and I will be your conference operator today. At this time, I would like to welcome everyone to the Encore Wire Fourth Quarter and Full Year 2022 Results Conference Call. [Operator Instructions] Thank you. Bret Eckert, you may begin your conference.
Bret Eckert: Thanks, Rob. Good morning and welcome to the Encore Wire Corporation quarterly conference call. I am Bret Eckert, Executive Vice President and Chief Financial Officer on Encore Wire. With me this morning is Daniel Jones, President, CEO and Chairman of the Board. In a minute, we will review Encore’s financial results for the quarter and year ended December 31, 2022. After the financial review, we will take any questions you may have. Before we review the financials, let me indicate that throughout this conference call, we maybe making certain statements that might be considered to be forward-looking. In order to comply with certain securities legislation and instead of attempting to identify each particular statement is forward-looking, we advise you that all such statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed today. I refer each of you to the company’s SEC reports and news releases for a more detailed discussion of these risks and uncertainties. Also, reconciliations of non-GAAP financial measures discussed during this conference call to the most directly comparable financial measures presented in accordance with GAAP, including EBITDA, which we believe to be useful supplemental information for investors, are posted on our website. I will now turn the call over to Daniel for some opening remarks. Daniel?
Daniel Jones: Thank you, Bret. Good morning, everyone. Thank you for joining us on the call and for your interest in Encore Wire. We appreciate your continued investment, confidence and support. Our results in 2022 marked another year of exceptional earnings, strong cash flow and consistent volume growth. Our single-site vertically integrated business model affords us the flexibility and agility to quickly adapt to changing market conditions while continuing to serve our customers at a level consistent with our high standards. Continued tightness in the availability of key raw materials and the general inability of the sector to meet demand for the timely delivery of finished goods kept spreads strong in the fourth quarter of 2022. Our key suppliers continue to perform at a high level which positions us favorably in meeting customer demand in a timely manner by continuing to execute on our core values of providing unbeatable customer service and high order fill rates, we were able to increase both copper and aluminum volumes shipped in the fourth quarter and year-to-date periods in 2022 over 2021 levels. I continue to believe that our operational agility, speed to market and deep supplier relationships can remain competitive advantages in serving our customers’ evolving needs. We remain committed to reinvesting in our business with current and planned projects focused on increasing capacity, efficiency and vertical integration across our campus. Copper unit volumes increased 7.9% on both the comparative quarter basis and on a year-to-date basis. Comex copper prices increased gradually throughout the fourth quarter while other raw material costs and inputs decreased slightly. Copper spreads decreased 13.7% on a comparative quarter basis and increased 1.9% on a full year basis. Aluminum spreads and volumes increased for both the quarter and full year periods in 2022 compared to 2021. The gradual abatement of copper spreads in the quarter was more than offset by increased aluminum spreads and an overall increase in total volumes shipped. We continue to believe Encore Wire remains well positioned to capture market share and incremental growth in the current economic environment. As we address the near-term challenges, we remain focused on the long-term opportunities for our business, including improving our position as a sustainable and environmentally responsible company in our industry. We believe that our superior order fill rates and deep vertical integration continue to enhance our competitive position. As orders come in from electrical contractors, our distributors can continue to depend on us for quick deliveries coast to coast. I will now turn the call over to Bret to cover the financial results. Bret?
Bret Eckert: Thank you, Daniel. Net sales for the year ended December 31, 2022 were $3.018 billion compared to $2.593 billion during the same period in 2021. Copper unit volume measured in pounds of copper contained in the wires sold, increased 7.9% in the year ended December 31, 2022 versus the year ended December 31, 2021. Gross profit percentage for the year ended December 31, 2022 was 36.9% compared to 33.5% during the same period in 2021. The average selling price of wire per copper pound sold decreased 0.5% in the year ended December 31, 2022 versus the year ended December 31, 2021, while the average cost of copper per pound purchased decreased 2.7%. As Daniel stated, the overall increase in total volumes shipped along with an increase in aluminum spreads during 2022 resulted in the increased gross profit margin for the full year of 2022 compared to 2021. Net income for the year ended December 31, 2022 was $717.8 million versus $541.4 million in the same period of 2021. Fully diluted net earnings per common share was $36.91 for the year ended December 31, 2022 versus $26.22 in the same period in 2021. Net sales for the fourth quarter ended December 31, 2022 were $693.9 million compared to $687.9 million in the fourth quarter of 2021. Copper unit volume increased 7.9% in the fourth quarter of 2022 versus the fourth quarter of 2021. Gross profit percentage for the fourth quarter of 2022 was 35.8% compared to 34.2% in the fourth quarter of 2021. The average selling price of wire per copper pound sold decreased 14.1% in the fourth quarter of 2022 versus the fourth quarter of 2021, while the average cost of copper per pound purchased decreased 14.4%. The gradual abatement of copper spreads in the quarter was more than offset by increased aluminum spreads and an overall increase in total volume shipped, resulting in increased gross profit margin in the fourth quarter of 2022 when compared to the fourth quarter of 2021. Net income for the fourth quarter of 2022 was $154 million versus $141.6 million in the fourth quarter of 2021. Fully diluted net earnings per common share, was $8.28 in the fourth quarter of 2022 versus $6.91 in the fourth quarter of 2021. Aluminum wire represented 17.8% and 15.4% respectively of our net sales in the quarter and year ended December 31, 2022. Aluminum volumes increased on both the comparative quarter and an annual basis over 2021 levels. Results through the fourth quarter ended December 31, 2022 were driven by stable demand for our products and the general inability of the sector to meet demand with the timely delivery of finished goods Persistent tightness and the availability of certain raw materials, ongoing global uncertainties, and suppressed availability of skilled labor kept overall spreads strong through the fourth quarter of 2022. This marks the seventh consecutive quarter of elevated margins and spreads. Also worth noting, copper volumes, aluminum volumes and total volumes have increased on a comparative quarter basis for 9 consecutive quarters. Our balance sheet remains very strong. We have no long-term debt and our revolving line of credit remains untapped. We had $730.6 million in cash at the end of the year. During 2022, we repurchased 2,055,470 shares of our common stock at an average price of $120.47, including 161,701 shares repurchased at an average price of $138.53 in the fourth quarter. Since the first quarter of 2020, we have repurchased 2,972,277 shares of our common stock for a total cash outlay of $311.6 million. We also declared a $0.02 cash dividend during the fourth quarter. In addition, in February of 2023, the Board of Directors extended the repurchase authorization for up to 2 million shares of our common stock through March 31, 2024. The repurposing of the vacated distribution center into Plant 7 to expand manufacturing capacity and extend our market reach was substantially completed in the second half of 2022. The incremental investments announced in July of 2021 continue in earnest, focused on broadening our position as a low-cost manufacturer in the sector and increasing manufacturing capacity to drive growth. In 2022, we began construction on a new state-of-the-art cross-linked polyethylene XLPE compounding facility to deepen vertical integration related to wire and cable insulation. XLPE insulation today is used in many applications, including data centers, oil and gas, transit, wastewater treatment facilities, utilities and wind and solar applications. We anticipate the new facility will be substantially completed by the end of the third quarter of 2023. Capital spending in 2023 through 2025 will further expand vertical integration in our manufacturing processes to reduce costs as well as modernize select wire manufacturing facilities to increase capacity and efficiency and improve our position as a sustainable and environmentally responsible company. Total capital expenditures were $148.4 million in 2022. We expect total capital expenditures to range from $160 million to $180 million in 2023; $150 million to $170 million in 2024; and $80 million to $100 million in 2025. We expect to continue to fund these investments with the existing cash reserves and operating cash flows. I will now turn the floor over to Daniel for a few final remarks.
Daniel Jones: Thank you, Bret. 2022 was another bannered year for Encore Wire, our employees and our shareholders. This consistent success further attest to the strength of our one-campus vertically integrated low-cost business model, which continues to thrive under current market conditions. I believe our business model remains a competitive advantage, giving us unmatched operational agility and speed to market and serving our customers’ evolving needs. Despite persistent tightness in availability of certain raw materials, our supplier partners continue to deliver on their commitments to Encore. We wouldn’t have this level of success without the consistent exceptional performance of our long-term suppliers. The labor market also remains tight and a limping constraint for many companies. All these factors have contributed to the general inability of the sector to meet the demand for the timely delivery of finished goods, which positioned us favorably to expand volumes shift for both the quarter and year ended December 31, 2022. Operationally, we continue to grow through investments that enhanced our service model, increased capacity, reduced costs and focused on the health and wellness of our employees. Looking ahead, we remain solely committed to execute upon the core values of our company, unbeatable customer service, nimble operations and quick deliveries coast to coast. I remain confident in the strength of the Encore team in place as we stand ready to navigate any challenges that lie in our path. I want to close by thanking our employees for their continued hard work and commitment to safety, quality and excellence. Our continued success would not have happened without their outstanding contributions. Our strong financial results have allowed us the opportunity to incrementally invest in our team as we position Encore as an employer of choice in the sector. I also want to thank our shareholders for their continued support. And Rob will now take questions from our listeners.
Operator: [Operator Instructions] Your first question comes from the line of Brent Thielman from D.A. Davidson. Your line is open.
Brent Thielman: Hey, thanks. Good morning, Daniel, Bret.
Daniel Jones: Hi, Brent.
Bret Eckert: Good morning.
Brent Thielman: I guess first question would be – Daniel, I mean aluminum seems to be a really nice tailwind for margins here for a few quarters now. You saw strong spreads again in the fourth quarter. Maybe just your latest view of what you’re seeing in that market and sort of the sustainability of these really strong spreads for that product line?
Daniel Jones: Yes. I mean great question, good ask. What we have is we’re seeing demand across the board in the product category seeing a little bit of a shift in the way the demand comes across. The utility piece has been relatively hot. The data center piece remains strong in the aluminum feeder size. And then there is some customization of some of those cables on the aluminum side that we’re able to do and the speed to market with those custom cables is certainly beneficial for us. And the demand itself overall is very strong. As you know, there is a heavy government investment in utilities and renewables and I think we’re just on the front edge of that. So we look for continued strength in demand. It does invite imports. We’re keeping a close eye on that. There is a history with us and one of our friendly competitors that we partnered way back in 2018 to address that problem. So we’re keeping an eye on the imports. But the other side of it is we’re managing the demand in a way that’s completely different than we’ve seen in the past. The buying patterns are different. And again, it’s just an influx of cash and money into that sector on the demand side for upgrading utilities and the additional renewables that are out there. So it’s a good market, really good.
Brent Thielman: Daniel, I know you don’t break out your end markets, but is it fair to say that utilities are a significantly larger customer today than they had been 5 years plus ago because of that demand environment and your ability to satisfy those lead times?
Daniel Jones: From – yes, I mean, it’s fair to say that. From a utility cable consumption, for sure. There is different companies that are getting involved at each stage of the upgrade to the utility sector. And the actual purchasing patterns that were there historically for the longer term layouts of material demand consistent over time has really shortened. It’s just a – it’s a hot market and looks like there is – with the government funds that continue to flow into that area and any investment that’s happening on the private side, that utility market is hot and certainly more important to us today than it has been in a while.
Bret Eckert: Brent, it’s Bret. I’ll just answer that. I mean, it’s also – when you look at this, and it’s not obviously just an aluminum story, it was a contributing factor, but copper volumes are up 7.9% for the year and 7.9% for that quarter. And so those incremental volumes still at those elevated margins are also a big contributing factor overall to what you’re seeing in the results. The last pound is worth more than the first one just because when you hit absorption. So I just don’t want to lose sight of that as well that the volume increase is contributing as well to the growth in the margin.
Daniel Jones: Well said.
Brent Thielman: Yes. Well, that was the mix. I mean just on the bigger kind of 80% of the business in copper. I guess, Daniel, with copper prices sort of churning higher historically, you’ve used this term of it kind of forcing discipline among competition and historically, rising copper prices tend to be good for your margins over time. I mean given how tight things are on the supply side, especially for those that I imagine aren’t vertically integrated, is there any reason the industry is responding differently to these higher copper prices now than they would in the past?
Daniel Jones: No, I don’t think so. I mean listen, we’re in a good market. We’ve got good competitors that through the last couple of years have been able to shore up their balance sheet, if they did have any issues. I mean, they are making money. They are doing great things. And it’s good to have good competition. The difference in this cycle that I see on the copper piece, the tightness that’s in the market on the shapes that are necessary for the consumption point has really not played out in that pricing model on the upside. And it’s coming. There is super tightness across the board. There is a America situation that has an influence on the shapes and where they come from, obviously. It’s just a different cycle this time. On the days supply based on consumption above ground today, it’s incredibly tight. There is technical factors that overhang the market that keep a cap or a lid. But at some point, you start to break through those economic lids because if you can’t get the material then the price becomes a little bit secondary. So it definitely forces discipline in the building wire industry. We’ve always done very well in a slow, rising copper market. It’s just this time, it’s really about, hey, what shape is available and who can take that shape and get it to market the quickest? Even to Bret’s point about the drive on the aluminum side from the utilities and renewable, a lot of that distribution ends up being copper. And so you still have to perform across the board. It’s not a scenario where you can gut your inventory in one product category and go a different direction. It’s a tight, tight copper market based on the shapes. And again, there is just not that much that you can get your hands on quickly above ground to do anything with. So it can’t stress enough how important our vendors are, I can’t stress enough how well that they have executed also getting product to us in a manner that we can convert and get it to market pretty quickly.
Brent Thielman: Okay. Just one more, and I’ll get back in the queue. Bret, I think you guys in the past have talked about wanting to keep a couple of hundred million dollars in cash on the balance sheet just to manage working capital manage the business. I mean cash balance now puts you $0.5 billion over that mark. You weren’t as active with buybacks maybe in the fourth quarter as we’ve seen in prior quarters. I saw you bumped up the capital spending plans, but it seems like you’re sitting with a lot of extra cash here. Could you just talk about the various options you may be considering with the Board with what’s just a massive cash balance here?
Bret Eckert: That’s a great question, Brent. And it’s something that Daniel and I talked to the Board about every single time we meet. It’s on the agenda and we talk what’s the highest and best use of cash and capital expenditures reinvested in this business and you saw the expansion of that. You still have $400 million, $450 million of spend over the next 3 years, which is a big number. We bought back even though it was a little more challenging in the market in the fourth quarter to execute the buyback more than we said the authorization was coming in. The Board re-upped it in August of this year. Refilled it to a full 2 million, and we got a little over almost 2.1 million shares. We reauthorized that for another 2 million. And so that gives you an indication of history is any judge as to what we see as a good use of cash. And we had a pretty aggressive buyback even in the fourth quarter, and we still see value in that. When you look at the dividend, it is only $0.02 a quarter, it’s not going to move the needle. I will tell you, still, as you said, it’s $200 million to $250 million of cash you need on the balance sheet to navigate if copper runs and whether that goes to $2 or $8, you’re going to need the cash on the fringes. But – we will continue to evaluate, look for opportunities with the incremental investment that we can make. And you saw how it’s going to play out. If you look at where something that we’ve been in the market is and where some of the strength of the market is in 2023, Industrial segment is going to be a big driver from what I see and what I hear with manufacturing investment in the U.S. is forecasted to grow 15% plus. A lot of major projects that are concentrated on semiconductor production, battery manufacturing, automotive infrastructure build-out to support EV transition, our Plant 7. It’s perfectly timed to help serve that high-growth market and the investments we made there with the XLPE facility coming online, right, that’s a big use of that type of insulation in those markets. And so I think you’ve got some drivers with regard to that, that show that these investments we’re making to take costs out are going to make a difference. So we’re going to continue to look for those opportunities across campus as well.
Brent Thielman: Okay. Thanks again. I will get back in queue. Appreciate it.
Daniel Jones: Thanks, Brent.
Operator: Your next question comes from the line of Julio Romero from Sidoti. Your line is open.
Julio Romero: Thanks. Hey, good morning, Daniel and Bret.
Daniel Jones: Good morning, Julio.
Julio Romero: Good morning. It looks like your copper spread dollars per unit looks like it abated by roughly the same dollar amount sequentially for the last two quarters. Do you foresee any changes in the rate of spread abatement in the coming quarters?
Daniel Jones: I wouldn’t think so. Again, we’re – that’s one of the things as you’re well aware, we fight to protect. Some of that’s timing within the quarter of what would happen with the timing of an increase of price in the market versus the increase and matching up with what happens with copper on that particular side. But I don’t know of anything that would cause it to accelerate or go in the other direction. It’s still – there is two things that work in this industry. It’s price of delivery or delivery and price. You got to pick which way that you go to market. We go with delivery. We compete with folks a lot of times to go with price, and I probably shouldn’t say too much about that, but that’s where we’re at. We’re fighting to maintain what we feel like is a fair price for the services that are being requested of us. And the more that we can do that and keep it out of a bid type scenario in the market, the better for us in net spread.
Bret Eckert: And I’ll just add to that, Julio, you look at this, and gross margin in the fourth quarter was 35 8. It was 34 2 last year, right? And so again, just like the aluminum piece. There is a lot of things that go into play with regard to what that ultimate margin is going to be, right? You’ve got that gradual abatement. You’ve got the increased volume at what our elevated margins, which helps offset that. We’ve got this investment with the projects that we’re building to deepen vertical integration or expand capacity, take costs out, improve our service model that are coming online, right? You put that all in a blender every month and every quarter, and that’s what you’re seeing kind of manifest itself in the margins. And so as Daniel said, we continue to fight one order at a time, and we will continue to get that and service that order as efficiently as possible.
Julio Romero: Great. That’s very good color. And Bret, your point on the incremental volumes that are coming through that kind of leads to my next question, I guess, just copper unit volumes rose 8% both in the quarter and year-over-year. Any way to think about how much of that is driven by the CapEx that’s put in place over the last 2 years?
Bret Eckert: Well, that’s a great question. I mean we talked about how Plant 7, the repurpose into the old distribution center came online in the second half of 2022, right? And so a lot of the incremental capacity that you saw that we experienced, particularly early in the year, was just done by flexing our existing footprint, right, flexing the existing machinery and equipment and leveraging the personnel we have finding ways to move it through more efficiently, leaning in on the shape, getting closer to the finished good and allowing us the flexibility to be very responsible from the customer side. As Plant 7 came online, that definitely helped as we got later in the year. But we said that, that added about 15% – 15% to 20% additional capacity on an annual run rate. And so you saw some benefit of that, but not the full benefit given the timing of when it came online.
Julio Romero: Okay. Great, that’s very helpful. So I guess, we should expect that annualized run rate to benefit you on the volume side in ‘23?
Bret Eckert: Yes. The margins got to be there, yes, sir.
Julio Romero: Okay. I wanted to ask about the polyethylene compounding facility and just thinking about if you could talk more either on the strategic rationale or maybe the return on that once it comes online later in the year?
Daniel Jones: Yes. Look, we are after controlling our supply. We are after lowering our costs on the front end. That’s a growing market for us. There has been pressure from the pricing side throughout the last reporting period, so the entire 2022. We want to control the supply side, and we want to cut our costs on the input side. That project allows us to do that. We will have the availability on the volumes side to do with that what we want to do. And again, it’s quite a bit more capacity coming online than what we currently consume. So, we have got plenty of space to grow for growth. And it’s – again, it’s the insulation over the metal. So, it handles both copper and aluminum for us in a segment of our business that we feel like there is an opportunity there that we can cut some costs and grow a little bit with that market. Again, the money that’s coming in, in that segment from outside sources, government sources, private sources, whatever it might be, hard to tell what the growth number actually will settle at, but it’s definitely an opportunity for us. But the net result is we wanted control of that input, and we wanted to lower our cost.
Julio Romero: Okay. Thanks to you all guys. Thanks for taking the questions.
Daniel Jones: Great. Thank you. Thanks for the support.
Operator: Your next question comes from the line of Taylor Merritt from Forge First Asset Management. Your line is open.
Taylor Merritt: Good morning guys. Great quarter. My first question is just generally on the CHIPS Act, the Inflation Act and the Infrastructure Act. How do you see potential timing of these benefiting Encore? Are these acts expected to be significant tailwinds in ‘23 via new orders or more so 2024 and beyond?
Daniel Jones: I think there is something to be said for ‘23 for sure. Each of those segments that are affected, it creates a tailwind. There is some positivity around it. The attitudes change. There is business that will be invested in that might have been idle otherwise. And then there are some new categories that will come from it. It’s a tremendous amount of Federal input. It’s landing at a time when we had weather events and whatever that created challenges for local and state municipalities on the utilities side. The renewable piece continues to evolve. There are some projects that may have gone – by the way, side without additional input and without some of the technological advances that have been born out of this. So, it’s a very broad influx of a tremendous amount of cash that we see some niche opportunities for us with both the aluminum and the copper side.
Taylor Merritt: Got it. That is very helpful. And my follow-up is on the increases in capital spending guidance. How much, if any, was related to inflationary cost pressures, or was it entirely due to incremental capital deployment opportunities you are seeing?
Bret Eckert: Yes, I think most of the inflation because you are starting to see a bit of a turnaround in some of those construction costs, some materials come in line. And so we kind of had a pretty good sense for what we thought – what the material cost and the construction cost is going to be. There is always ebbs and flows in those numbers, Taylor. But overall, the increments are really just the timing of the projects that we had slated in and the ability to kind of move those around as we thought best fit with regard to where we saw the market going.
Taylor Merritt: Got it. Thank you very much. That’s it for me.
Daniel Jones: Thank you, Taylor for your support.
Operator: Your next question comes from the line of William Baldwin from Baldwin Anthony Securities. Your line is open.
William Baldwin: Yes. Thank you and good morning Daniel and Bret.
Daniel Jones: Good morning Mr. Baldwin.
William Baldwin: Regarding these large industrial projects, they were seeing talked about the semiconductors and the battery plants and then EV plants and so forth. Are those projects yet to be felt on the demand side? Are they still in front of us as far as seeing the demand for your products into those projects?
Bret Eckert: Yes. We see that definitely and that’s one of the areas from an industrial standpoint where the reports I see are forecasting 15%-plus growth. You hear about those all the time, the semiconductor or the battery manufacturing, a lot of on-shoring going on. And so I definitely think those projects are in front of us ‘23 and beyond.
William Baldwin: Right. Just from the standpoint of what you have been talking about in regards to the physical tightness of this market. When those projects begin to actually show up and materialize, could that be the inflection point that’s going to really cause this pricing picture to change quite a bit that we see for copper? I mean if the market is tight today, I can only imagine what it’s going to be like when the project start to hit?
Daniel Jones: No. There is tons of reports written. The most recent one that was logical was in the Wall Street Journal on Monday, makes a lot of sense, matches with a lot of what we are seeing in the market. Again, when the supply and demand takes over for these technical factors that are overhanging the metals markets and folks really get a handle on the consumption side versus the supply side, it’s a bullish picture. We still have games being played with the numbers coming out of China. The reports that they will show on what’s really there remains to be seen in the Shanghai warehouse. There is just a lot of factors that go into it. And if copper goes up, it’s credited to China. If copper goes down, it’s a bind [ph] to China. There is a lot going on there. As you know, you have seen this market for a lot of years. The good thing is when it relates to the actual execution of putting our product on the job site for consumption, that’s where we are really hitting on all eight cylinders and doing the things that we are supposed to be doing. We are not guessing on copper. We are not guessing on aluminum. We go with the inputs, and we put the product on the job site when it’s needed. And right now, there is a market out there that will pay for that, not anything significant by any means, but we have got a ton of repeat business with folks where we have earned the opportunity to keep it off the street, so to speak, and not go out for quote. And that’s a good spot to be in. But at the same time, it’s a good responsibility and challenges our team and I will take our team against the other guy on the delivery piece any day.
William Baldwin: Absolutely. Well, I guess I mean as you look at your crystal ball, Daniel and Bret, copper prices, who knows where they go to. Is there a point in time for that begins to impact ROI on the projects we are going into and begins to mitigate perhaps the demand? I mean is there some price point for copper that the projects just can’t absorb? You have an ROA that’s competitive?
Daniel Jones: Certainly, will be talked about more. Substitution creeps in as part of the conversation. But when you look at the power consumption that’s in front of us on some of these projects, you have to go copper. You have to go with larger sizes, more conductors. There certainly will be improvements to designs going forward. For a lot of these projects, they are going to do redesigns, they are going to do improvements, they are going to do whatever. But at the end of the day, if the consumption of power is where it is, they are going to have to have the products that we make. We are very narrowly mixed really, if you think about it, but yes. I mean I think the consumption piece on the power, those numbers are going to dictate what has to happen.
William Baldwin: They are just too compelling. Yes. Is the solar business, your solar business, is that primarily aluminum wire – aluminum cable wire?
Daniel Jones: It’s both, but primarily, it’s aluminum when you get into the field itself, the distribution in the field.
William Baldwin: Okay. And housekeeping item what was the percent of revenues this quarter in your residential side of the business?
Bret Eckert: Residential, for the quarter or for the year, I will give you both. On an annual basis, for the year, we were at 29.6% in 2022 and about 31% in 2021. If you look at it just for the fourth quarter, it’s almost identical. It’s 29.3% this fourth quarter. 29.4% last fourth quarter. So ultimately, volumes are up. And given those percentages, obviously, you would have to say volumes are up as the percentage stays the same, right.
William Baldwin: Right. Yes. Thank you very much.
Daniel Jones: Thank you, sir. Good to hear from you.
Bret Eckert: Yes. Thanks Mr. Baldwin. Appreciate it.
Operator: And we have a follow-up question from the line of Brent Thielman from D.A. Davidson. Your line is open.
Brent Thielman: Hi. Thanks guys. I appreciate the details on the polyethylene plant investment. Just was wondering how much of that $160 million to $180 million in CapEx for ‘23 that represents?
Bret Eckert: Well, you have got a number of projects, as you know Brent, right. And then also keep in mind that we started that in 2022. So, you are going to have some of that spending kind of cross over, if you will. I would rather not get into specific numbers with regards to it, but it is a component of it. But if you lean back in as to what we spent money on in ‘22, some of the bigger drivers were probably with the repurposing of the old distribution center making Plant 7. And then every single year, we have got $50 million to $70 million of just what I call maintenance CapEx, which is mainly additional machinery and equipment, right. Replacing lines, more often, we are just bolting additional lines on moving equipment around getting more capacity with their existing footprint. And that happens every single year here as we evaluate replacing an older line with maybe something more efficient or not or keeping them both.
Brent Thielman: Got it. Okay. I mean I imagine it’s not the investment it was in Plant 7 or the distribution side. I guess maybe my question is the security and materials supply makes a lot of sense given what you had to go to in COVID. I am just – maybe just curious the significance of this to Encore from a cost standpoint? I mean is it the 5% to 10% of your COGS that aren’t in copper. I assume you are now able to produce a big discount in-house. So, I mean does this sort of structurally change your margins once it’s up and going versus historically, because you have got these capabilities in-house now?
Bret Eckert: I mean it’s – you are definitely be able to, obviously, when we vertically integrate, right, we find a way that we can make it cheaper than you can buy it. There is a huge value to the certainty of supply though, right. As you look at the utilization, the green economy, the electrification that you are seeing and the types of investment that’s being driven even by the infrastructure and inflation reduction, right. A lot of that lies and really goes right towards the wire and cable with this type of insulation. So, there is also a value in your ability to scale, right, on your own timeline to be able to capture those opportunities in the market. I mean Encore was – we always talked about our nimbleness, right. That’s really who we are, right. Our ability to adapt very quickly because of the single site location is really our strength, right. This is just another thing that gives us or adds to that nimbleness as we find a way to serve our customers at a very, very high level.
Brent Thielman: Okay. Got it. Thanks guys. Appreciate it.
Operator: And there are no further questions at this time.
Bret Eckert: Thank you, everybody. Appreciate your time today and enjoy the rest of the day.
Daniel Jones: Well done, Rob. Thank you.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.